Operator: Ladies and gentlemen, thank you for standing by. Welcome and thank you for joining the On Holding AG Q4 and full year 2021 results. Throughout today's call, all participants will be in a listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Florian Maag, Head of Investor Relations, please go ahead.
Florian Maag: Good afternoon, good morning. And thank you for joining on 2021 full-year conference call and webcast. With me today on the call, our Executive Co-Chairman and Co-Founder, David Allemann, CFO and Co-CEO Martin Hoffmann and Co-CEO Marc Bouwer. For the first part, David in marketing-related through the prepared statements. Afterwards, we are looking forward to opening the call for Q&A session. Before we begin, I would like to remind everyone that their remarks during today's call may contain forward-looking statements regarding future events, and financial performance within the meaning of the Federal Securities Laws.  These forward-looking statements reflect our current expectations and beliefs only, and as such, they've been subjected to certain risks and uncertainties that could cause actual results to differ materially. Please refer to our 20-F filed with the Securities and Exchange Commission earlier this morning for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please further note that this call will also contain certain non-IFRS financial measures such as adjusted EBITDA and adjusted EBITDA margin.  While the company believes these non-IFRS financial measures will provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Please refer to today's release for a reconciliation of non-IFRS financial measures to the most comparable measures prepared in accordance with IFRS. With that, I will turn the call over first to David followed by Martin for the prepared remarks.
David Allemann: A warm welcome to all of you joining us today around the world from Switzerland. We are excited to share with you On's first full-year results as a public company after our successful IPO just six months ago. We thank you very much for following our journey and for tuning in today. You will hear about recent progress and important priorities before we dive more deeply into financials, conclude with an outlook on 2022, and then open up to your questions.  Global consumer demand continues to drive On's hyper-growth. We are very pleased to announce that 2021 has been the strongest year in On's 12-year history and beats our expectations at the beginning of last year on all accounts. We experienced strong global consumer demand across all the regions, channels, and product categories. The exceptional momentum lifted net sales to CHF725 million, representing a 70% year-over-year growth. At the same time, we see a significant jump in On's gross profit margin to the top end of our industry and continued increase in adjusted EBITDA.  We are grateful to have successfully navigated down certainties of a global pandemic and supply chain restrictions in the last two years. I feel it shows the strength of the On's brands, of our operating model, and most importantly, of our global team. On the supply side, on strong consumer demand is met with better-than-expected product availability. Some of the brightest members of our team vote into supply planning. Their agility and strong relationships with our suppliers made it possible to mitigate the temporary start of production in Vietnam in a short amount of time.  Of course, COVID is not over award in Europe is not just a human tragedy, but could have ramifications in global trade. And inflation is a challenge to consider. We remain on the lookout, vigilant to take on risks as they arise. Risk awareness has served us well in the first starting years of an incredible journey. Still, we continue to be very optimistic, always experiencing a running boom everyday. Markets like the US, the UK, and China, are taking off like never before, and we see strong growth across all the regions. The on brand truly is on fire. Takes the US, their own saw over 92% growth in Ron specialty, and also over 85% in our own Eco.  Take U.K., you pay their own grew over 75% in 2021 or take China their own Changed from ranked 120 to 35 in the key most sports ranking and sees a fivefold increase in brands, followers. The momentum of performance brand on starts to fueled by athletes. As you know, On has been founded by athletes for athletes. We are all inspired by On athletes to turn their dreams into reality. They truly are on a winning streak across the globe. The On Athletics Club or short-term OAC is On's elite athlete team based and trained in Boulder, Colorado.  We are honored to announce that the two-time 5,000 meter world champion, Hellen Obiri is joining the On Athletics Club. Hellen is one of the most impressive and versatile female athlete. She will move with her family to the U.S. to join the On Athletics Club in Boulder to train with our coach Dathan Ritzenhein and the OAC team. Many of the OAC athletes have competed in last year's Olympics and continue to stun audiences, like Australian Olympian, Olli Hoare, who won the fastest mile at the Millrose Games in New York City with a striking time of three minutes and 50 seconds. We could not be happier about the success of our athletes and the On Athletics Club. This is why we have decided to establish OAC in Europe and Oceania as valid this year. Over in Europe, our athletes from the Swiss Alps has just come home from the most successful Winter Olympics for Switzerland ever and the Norwegian Olympics team has won the most medals of all nations in this years Winter Olympics. On has been developing shoes and apparel for both teams in the last years and is their official sponsor. Seeing all athletes been across the globe, fuels the momentum of On as a unique performance spread. We further amplify through broad storytelling in feature-length film and short social stories. I am sure you are targeted as valid by our data engine. We are making fast progress towards our long-term brand issue to ignite the human spirit through movement.  On is carried by a rapidly increasing movement of millions who run, explore, travel near and far, lift their spirit, and stream on. This means that On is reaching a far broader community. On's brand and products resonate with a bigger market in three ways. First, we are launching exciting products for all type of runners. As an innovation brand, we are building on our technology for world champions and make it vitally relevant for all the runners. Just two examples of a record launch of all six new shoe models. Let me just give you two examples out of six all-new shoe models. In running the old new Cloud Monster model will launch this spring and is celebrated by our retailers who served a big group of everyday runners.  These are runners who demand maximum cushioning. For outdoor retailers, we launched all new [Indiscernible]. It is the perfect companion for gravel roads and tracks, versatile and mainstream. At the same time, we see our color range growing nearly twice as fast as our shoes. On's innovation drive is rewarded by our industry. Footwear News has named On the 2021 brand of the year back in November. And ISPO, the biggest European sportswear, has given the 2022 ISPO awards to our new [Indiscernible] jacket in apparel, and to the all-new Cloud Monster in footwear. My second point is that [Indiscernible] culture crossing over into popular culture.  A young community in Tokyo, Shanghai, [Indiscernible], New York has embraced On as a brand that inspires them at the intersection of performance and design. On the slides, off the shelves at tastemaker retail and to select [Indiscernible] and footlocker doors that we choose to play. On performance shoes in the apparel piece is pop up in the streets well beyond the running route. And we believe that on taps into a secular shift where performance is taking over fashion and replaces classical archetypes with performance rates. Driven by the shift lower bay, one of the fastest-growing global fashion brands and the rising star in the LVMH universe has asked us to collaborate with them on performance rate.  Two years in the making, the unique capsule of own shoes in the power pieces has launched just last week, available in all [Indiscernible] flagships in select fashion retail, and on our website. Days after the launch the collection is almost sold out. Moving around the global campaign and especially caters to the [Indiscernible] brand law in Asia with more than 40 flagship locations. This all means that Onstage is firmly rooted in wrong culture and at the same time is embraced by a much wider market and demographic. And an important third point is that we believe that all communities have a fundamental right to movement. This inspired to launch of our rights around social impact program in early 2021.  Through partnerships with community organizers, and non-profits around the world, we promote access and inclusion in running. Sometimes it is as basic as having a safe route to run. Together with our partners, we are empowering communities that are at the risk to be left out of the global running community, such as people with disabilities and people of color, or those who are experiencing houselessness. We are committed to ignite the human spirit through movement in all parts of society. Now, let me speak to our Omni channel strategy that is so vital to our success.  We are not only creating products that our customers loved, but also reach them that they shop. On's Omni channel strategy is firing on all cylinders. It delivers scale, insight as valid resilience for On in the following ways. Our own e-com channel on our website has reached a high share of 36% of our business in 2021. This means that we increased direct connections to our community, now serve customers in 48 countries through D2C, and learn from them. For example, customers who buy apparel as a first piece, show a higher lifetime value as they already appreciate On as a sports brand, not a pure shoe brand.  And predicting the relevant offering to the right customers at the right time in their journey has allowed us to retain big new customer cohorts. In fact, in the last two years, we have retained our newest customers. There's a similar stickiness as customers have come to when On was still a smaller brand. This means that On stays very relevant, while we reach afar by their audience. And it also shows that running habits that were formed in the epidemic persist. The benefits of these very data-driven approach, obviously extends to demand planning and operational effectiveness and of course, also gives us higher margins.  At the same time, we continue to build strong relationships with our wholesale partners. We believe that retail partners with strong brands and a unique offering will continue to add value to their customers in physical locations, as well as on digital channels. They inform and inspire beyond the transaction. We are fortunate that strong wholesale brands has partnered with us for years and continue to introduce and position our brand to their unique audience. To mention a few activation highlights with our key wholesale partners with RIA for example, we exclusively pre -launched the Cloudultra as the top trail running shoes to their community of 20 million outdoor enthusiasts, a huge win for building On's credibility in the outdoor space. Our fast success at Nordstrom paves the way for roughly 20 additional shop-in-shops in important Nordstrom doors this year. And the focus on the best footlocker doors introduces On to an even younger audience. At the same time, we have opened shop-in-shops in some of the most premium locations on this planet. At [Indiscernible] in Paris and at [Indiscernible] in London. These initiatives allow us to grow fast on a global scale in more than 8,700 stores and hundreds of City Centers.  At more than 1,000 locations, On is present with a branded shop-in-shops experience. In 2021, we have observed consumers flooding back to the City Centers and stores after lock-downs, eager for interaction and experience. As a result, we have seen wholesale revenues bouncing back strongly, keeping our Omni channel mix with D2C very resilient. This has strengthened our belief that attractive physical shopping experiences continue to be an important part of consumer culture and part of the very fabric of our cities. The importance of physical experiences is now the backdrop for our expansion of our very own retail network in global hub cities. On flagships act as the most complete experience community center and media channel for our brand.  On New York city is experiencing waiting lines in front of the door and many community runs start from this space. New York and our eight On flagships in China are able to attract the highest share of first-time customers to On across all our channels. Conversion in store is higher than any other sales channel with a significant share of apparel in some stores up to 25% of sales. All of our stores have reached profitability within nine short months of opening. We will continue to expand to the most important cities on this planet.  At the hill off the Tokyo Olympics last year. On Tokyo is set to open in the next weeks, followed by launching in Zurich in summer. It is important for you to know that we are not seeing a cannibalization of our wholesale and D2C challenge. Both channels showed sustained strong growth at the same time and are highly complementary. Let me come to the ultimate success factor of home, our team. We are fortunate that On has been able to attract exceptional talent. Only 1% of all people applied on are accepted. In 2021 wrong On has grown to 1,100 members who dream on and built a future. 600 people have joined team On in the last two years and have mostly worked remotely.  The On team comes from over 65 nationalities and very different backgrounds and mindsets. We see adversity as a catalyst for innovation and creativity. Each month we are seeing an important moments from that the team is moving back together into new social office and lot spaces. Our European technology hub in Berlin was just opened in a big former post office and brings together 200 tech and customer service people. Our new North America home in Portland, they'll see 300 people move in together in April and 700 people built into the new On labs in Zurich in summer. The team will continue to have the opportunity for hybrid work, but also come to gather in social spaces again, nobody is coming back to the office just for a desk.  We don't continue to build a unique On culture along our [Indiscernible] and join many runs along the way together. This still bringing collaboration, community activities, and workplace innovation to the next level and on. When you speak of running [Indiscernible] and our team, I have to mention the most important member of our community, our planet. Nature is the most important environments for sports and exploration, but also the most endangered one. So in the next earnings call, we will talk about our important green tech initiatives, Cyclon and CleanCloud, so stay tuned. And with these I'm handing over to Martin on CFO and co-CEO to take you on financial deep dive.
Martin Hoffmann: Thank you. David. 2021 has been extremely exciting and decisive year for On. We're very proud of what we have achieved. Not only from a financial perspective, but across so many different dimension. A year is like a marathon race. The circumstances of the fourth-quarter made the last [Indiscernible] even more challenging. But thanks to our whole team, we were able to exceed our expectations for Q4 and to successfully finish the year with many new record numbers. And equally important, we are coming out of Q4 with more confidence and evidence for continued strong growth in 2022.  Our financial results in the fourth quarter are further validation of the strong global demand for the On brand and our commitment to manage the company with a long-term growth and profitability-driven mindset. Net sales for the quarter were 191.1 million Swiss francs, exceeding our previous guidance. This marks a strong 54% increase compared to the fourth quarter last year. Yet, as expected, the growth is slightly slower than in previous quarters due to the following three transitory impacts. First, the factory closures in Vietnam between September and November have led to supply shortages, especially in Europe, where we had less inventory buffer going into the fourth quarter. Second, until 2020, we launched our new Spring Summer footwear collection in November, and consequently, at higher wholesale volumes in Q4. As of 2022, the Spring Summer season starts in January, which is expected to result in a permanent volume shift in our wholesale channel from Q4 to Q1.  And third, while North America had lifted most COVID-19 -related shopping restriction, we have experienced repeated lockdowns in Europe, especially Germany, Austria, and Switzerland, as well as in some of the markets like Australia and various cities in China. Despite these headwinds, we achieved net sales of CHF724.6 million for the full year of 2021, a 70.4% increase compared to 2020, and a 65% CAGR over the past three years. Though we have experienced an acceleration in our sales growth compared to 2020, including 2021, we have grown this more than 65% in nine out of the 11 years since our foundation.  Since the inception of On in 2010, our sales have grown with the CAGR of 84%. While the supply constraint impacts both our DTC and wholesale channel, the season change and the continued lockdowns are more visible in wholesale only. Consequently, in Q4, we have seen a very strong growth of 76.7% in DTC to CHF 84.7 million, compared to 39.3% growth in wholesale to CHF 106.4 million. On a full-year basis our gross rates of 71.9% for DTC and 69.5% for wholesale are validating the strength of our multichannel distribution, and effect the DTC continues to outgrow wholesale, despite the reopening of many retail stores.  Our DTC share on a full-year basis grew from 37.7% to 38.1%. The continued engagement of existing customers and increasing trend awareness as well as the sustained shift in consumer behavior since the pandemic continue to significantly drive our DTC channel. During 2021, the number of sessions recorded in our e-commerce platform, including China, increased from CHF 66 million to CHF 102 million. We had a very successful holiday season. This is stronger focus on our brand story. With the message for every runner we were able to push product sales on paid channels, but also create more reach from a storytelling perspective on organic channels.  China accounted for 3% of our total e-commerce sales during the full-year 2021 versus 1% in 2020. Our double 11 campaign, with a focus on [Indiscernible] blockbusters resulted in a 429% growth in terms of sold items in 2021 versus 2020. We first expanded our own retail footprint in China by opening two new stores in Q4, one in Shenzhen, and one in Chengdu. As we begin to build our presence in core cities outside Shanghai and Beijing. Overall, our store count in China increased to eight. The store in Chengdu's Taikoo Li mall is our largest retail store to date in China. David already mentioned some key highlights for our strong partnerships with retail partners in the wholesale channel.  Overall, our growth in wholesale was driven by an increase of 900 doors from over 7,800 to over 8,700, by also achieving significantly higher net sales per door. Shifting our focus to net sales by geography. North America and Asia are growing strongly and especially the United States and Canada experienced a new level of consumer demand following the IPO. North America grew 100.1% and Asia-Pacific by 35% in the fourth quarter of 2021. In Europe, sales have been more impacted by the supply shortages and by the renewed lockdowns in November and December. And net sales for the fourth quarter ended up slightly below Q4 2021.  To be clear, we see all impacts as transitory and expect continued growth rates in Europe as of Q1. For the full-year 2021, all regions post significant growth with Europe growing 38.8% despite the prolonged lockdowns in Q1 and Q4. North America 96.8%, Asia-Pacific 85.8%, and the rest of world 78.8%. Of course, this sustained growth is fueled by our constant innovation and the number of exciting products that we launched during the course of 2021 across all product categories. We are very proud to see a further acceleration of the consumer demand for our expanding apparel line, resulting in 216% growth in Q4 2021. Ultimately, for the full year, shoes grew at 68.1%, apparel almost at twice the rate at 130.8%, and accessories at 57.2%.  The share of sales from apparel increased from 3.7% to 5%. Gross profit in the fourth quarter was CHF111.8 million compared to CHF64.3 million in Q4 2020. Our gross profit margin increased year-over-year from 51.7% in Q4 2020 to 58.5% in Q4 2021. As expected, while we had to achieve around 60% gross profit margin in Q3 and Q2, Q4 was negatively impacted by additional airfreight to compensate the supply shortages from factory closures are partially offset by the higher D2C share. Overall, we use less airfreight as anticipated mainly due to the longer factory closures and very volatile airfreight rates. On a full-year basis, our gross profit margin improved by more than 500 basis points from 54.3% to 59.4%.  This increase mainly reflects lower customs costs related to the free trade agreement between Vietnam and Europe, as well as lowers sourcing costs, but also our ability to drive cost efficiencies across the supply chain. Moving on to SG&A and leaving out share-based compensation for the moment. SG&A expenses as a percentage of net sales were 59.2% for Q4 2021, compared to 45.9% for the same period last year. This increase largely relates to the increased marketing and general administration spends. We did not manage our expenses in Q4 in isolation, but with a clear focus of our long-term gross and our full-year profitability.  As mentioned, the IPO ignited a lot of energy and awareness into the trend, especially in North America and Asia. We took the decision to fuel this momentum and to make use of the post COVID marketing opportunities in the physical and virtual growth. Our strong net sales growth lower than expected expenses in airfreight, and also COVID related cost savings allows us to invest into brand building campaigns while still realizing a significant increase in our adjusted EBITDA margin on a full-year basis.  It allows us to create big brand presences at Q4 trade and sports events, especially global marathon majors and trade events like the running event in Austin, where On had received very positive feedback from the long specialty retail community. And it allows us to invest into digital customer acquisition to power growth through the holiday season and into 2022. The increase in general and administration expenses was mostly driven by initiatives to enhance our financial abilities as a public company and expenses for our new offices, as well as by higher travel expenses to allow our team members to connect globally in the aftermath of the pandemic.  SG&A expenses before share-based compensation for the full-year 2021 were 51.5% of net sales compared to 45.5% for 2020. For G&A, this increase is mainly driven by the higher expenses just mentioned for Q4. In addition to the Q4 impact full year 2021 marketing expenses saw the launch of our official expression of our brand mission to ignite the human spirit through movement, and assets and promotions created under the dream on tech line. Sustained brand awareness and sales growth allowed us to further invest in upper funnel acquisition activities and to lay a foundation for future growth. Moving on to share-based compensation.  As disclosed in the IPO and announced in our previous call, we granted CHF 7.5 million stock-based awards in Q4. The majority of the current benefits, the leaders, and key employees at On beyond the executive team. On top of that, all of our employees at On have received the founders grant at the IPO. It turns the full team into shareholders as an appreciation for their hard work in the last 12 years. The maturity of the above-mentioned stock-based awards vested at the IPO. And consequently, we recorded 176.2 million share-based compensation expenses in Q4 and 198.5 million for the full year. Adjusted EBITDA, which excludes share-based compensation and one-off transactions related to the IPO, was 11.2 million for the three months period ended December 31st, 2021.  Very similar to the 11.2 million Swiss francs in the prior year period. As expected, our adjusted EBITDA margin went from 9% in Q4 2020 to 5.9% in Q4 2021. Important for us and in line with our commitment to continue the increase of our profitability, adjusted EBITDA for the full-year 2021 increased by 93.8% from 49.8 million Swiss francs to 96.4 million Swiss francs. In percent of net sales, adjusted EBITDA increased from 11.7% to 13.3%, the highest adjusted EBITDA margin in the history of the company. We ended the year well financed with 650 million cash on hand, which allows us to pursue our ambitious growth plans. Proceeds from the IPO and subsequent equity transactions were 690 million. Throughout 2021, we continued to invest in our IT infrastructure, especially in our new ERP, CRM, and data analytics landscape in retail stores and in office infrastructure. Our capital expenditures in 2021 were CHF36.2 million equivalent to 5% of net sales. In 2021, we achieved a positive operating cash flow of CHF16.9 million compared to minus CHF14.7 million in 2020. Naturally, our strong growth results in a significant increase of networking capital, driven by increasing receivables from higher sales volumes with wholesale partners and by investments in inventory to fuel our future growth.  Excluding the growth in working capital of CHF 74.4 million, we achieved a positive operating cash flow of CHF91.4 million, which further validates the strength of our profitable business model. Now, let's look ahead into 2022. As mentioned in our last call, our guidance philosophy is to provide prudent, yet aspirational guidance for the full year, not on a quarterly basis. David already shared how we will continue building the brand and drive significant growth across all channels, regions, and product categories. We plan to significantly expand our offering in running outdoor and lifestyle, which we called performance all day with highly innovative and even more sustainable shoes, apparel item, and accessories.  We have completed our selling season for spring, summer and fall, winter 2022, and we are seeing very strong pre -orders from existing and new wholesale partners. Both for half-year one and half-year two. These include a very controlled expansion of our partnership with Footlocker and Shady sports, following successful pilot during the Q3 2021. It will also include the first pilot, the Sticks sporting goods as of summer. This is a very targeted assortment of our running product. At the same time, we have built a significantly elevated customer base in D2C, and continue to retain existing and to bring new customers. So we expect to reach more fans around the globe and allow them to move in On product.  In addition, we will bring a new level of brand experience to more flagship stores around the globe. For the first time we will open flagship stores in Europe and Asia, outside of China and we will continue increasing our presence in North America and approximately double our store count in China. As mentioned earlier, all of this gives us additional confidence for our outlook of 2022. This confidence is further elevated by the positive development of the sourcing situation in Vietnam and throughout the supply chain. Since December, our production capacity is 100% back to the levels that we had committed pre - lockdown. We are extremely grateful for the support we have received from our factory partners throughout the last month.  For example, most partners continued working during the Test holiday in early February to recover from some of the capacity loss. Overall, we're fast-tracking the capacity ramp-up plan this year, leveraging our close relationship with the factories. This includes the expansion into Indonesia where we just started production in a new facility with the goal to produce 10% of our footwear outside of Vietnam by the end of 2022. But, of course, managing the supply chain remains a core priority as we are experiencing volatile shipping cost, port congestion at the U.S. West Coast, and labor shortages due to Omicron infections in some of our warehouses. As explained in our last update, the transitory supply shortages will define our pace of growth in the first two quarters.  But supply is not expected to be a significant limiting factor in the second tops. By then our pace of growth will be defined much more by our strategy to build a global premium performance brand. Thanks to very strong partnerships with our factories and supply chain partners and the passionate work of our own supply chain teams in Vietnam and in Zurich, we expect, compared to our Q3 update to be in a stronger supply position to fuel the demand in the first half of the year. For example, just three weeks ago, we launched the new Cloud 5 globally within the planned timeframe. It actually marks our biggest product launch ever.  Also, the new Cloudmonster, our next cushioned running shoe will be available to our customers as of March 31st. Based on this elevated supply position, we expect to be able to drive more net sales growth in half Q1. At the same time, the current situation in Vietnam and our strong pre -orders performed in there provide even more confident to have the right product to return to hypergrowth in the second half. Consequently, and also considering the global economy and geopolitics, we increased our outlook for the full year 2022 and expect to achieve at least CHF990 million in net sales. Our internal ambition is still higher than that, and we will continue to balance net sales growth versus profitability to mitigate the disruptions across the international supply chain.  We continue using airfreight to balance inventory levels against the strong demand. While we were able to achieve our strong Q4 with a lower-than-expected share of airfreight, we still expect a headwind to our gross margin of approximately 700 basis points to 800 basis points in half year one, 2022, compared to half year one, 2021. This is comparable to the relative impact we announced in our previous outlook. Outside the transitory impact from higher airfreight expenses, we expect to maintain our high gross profit margin as a premium brand. To offset the impact from some high expenses along the supply chain, we have increased our retail prices in North America by $10 on roughly 40% of our sales value.  The higher net sales will allow additional gross focused investments into the brand and the team, while increasing our adjusted EBITDA target for the full year to CHF130 million and also increasing our goal of an adjusted EBITDA margin to 30.1%. If we are able to achieve higher net sales, we expect to drive additional profitability. We will continue to closely monitor the situation in Russia and Ukraine. Our business exposure in both markets is very limited. We have one distribute in Russia accounting for less than CHF 500,000 in net sales in 2021. We decided to stop any new product supply into Russia as we clearly denounce all acts of violence and intimidation. We do not have any business in Ukraine nor any On entries in Ukraine or Russia, but as an international company with a diverse team, our connection to Russia, Ukraine, and neighboring countries are extensive, including many Russian and Ukrainian team members.  These individuals, our team, colleagues and friends, collectively coming together as one community. Looking back, 2021 was an extremely exciting year for the print. This huge milestones like the IPO, the launch of our new European systems, our official expression of our brand mission to ignite the human spirit through movement. Exciting new products like the Cloudultra, the Cloudstratus or apparel items that combine performance and design. With our big steps in sustainability, with many new athletes, our presence at the Olympics in Tokyo, our first podium at the Berlin Marathon, our growing presence in China, and with so many new members in our team.  All of us together are fully committed to shape our future and to make 2022 even more exciting. We are extremely grateful to have such an amazing high-performing sports team that allows us to dream on and to further build on as a global premium sports brand that lives at the intersection of performance, design, and impact. With that, David, Marc, Florian, and I would like to open up the session to your questions. Thank you for your support and for your trust throughout 2021. Operator, we are ready to begin the Q&A session.
Operator: Ladies and gentlemen, at this time, we will begin the question and answer session. [Operator Instructions]. One moment for the first question, please. First question is from the line of Jay Sole from UBS. Please go ahead.
Jay Sole: Great. Thank you so much. Nice quarter. The question is about the expansion of the product offering in 2022. You mentioned that REI, you introduced some outdoor footwear there were to a great success. Can you just tell us a little bit more, maybe elaborate on how the expanded product offering is going to allow to coming to address different parts of the market with different types of shoes to continue to expand the brand and expand the audience for the brand? Thank you.
David Allemann: Jay thanks a lot for the question. This is David. We're incredibly excited about how we're expanding the product range. And probably first of all, it's important to know that we also retain customers very much based on lasting franchises and [Indiscernible]. So, of course, seeing the Cloud now in its 5th iteration launch and with a huge community is important for us, especially because now the Cloud has 44% of recycled contents. But then, we also see a record number of all-new shoe models this year. And as I mentioned, one very important direction is that we want to reach all type of products. And the Cloudmonster is our highly cushioned product, is super important and we've just been at the running event in Austin and just seeing the intensity of interest by the specialty running community [Indiscernible] Fleet Feet and so on has been tremendous.  But then, we're also going to launch the Cloudrunner and the Cloudgo at very interesting price point. So it's really important how we extend in running. But then, on the other side, we also feel that we're very much resonating with the consumer that is interested in running, but also in run culture, so their performance is almost taking a bigger share and that's probably will be shown in this [Indiscernible] capsule where [Indiscernible] just introduced into All Stars to really come to their range with our performance gear, just showing that performance and functional value is very much crossing over into mainstream in fashion as well.
Operator: We can't here you at the moment. Could you please unmute your telephone?
David Allemann: Could you hear me out?
Jay Sole: I can still hear you.
David Allemann: Okay. Very good. To sum up, we're very much expanding when it comes to running to all types of runners. But we'll continue to cross over into what we call all-day shoes and with also our performance apparel pieces.
Jay Sole: Got it. If I can ask one more --
Operator: Sorry, we are experiencing a technical difficulty at the moment.
Marc Maurer: We -- Operator, we don't experience.
Jay Sole: Hello. If I can ask one more question, hopefully that you can hear me. You mentioned door increases last year and wholesale doors, obviously, great success there. And then you mentioned a new pilot with DICK's Sporting Goods that sounds exciting, expansion with Foot Locker, JD Sports. Can you just give us a sense of how much door increases you expect in 2022 and a little bit maybe more color on some of the partnerships with some of the retailers that you mentioned DICK's Sporting Goods, Foot Locker, JD. Thank you so much.
Marc Maurer: Thanks for the question, Jay. I didn't -- I hope I got the -- this is Marc speaking. I hope I understood the full question regarding Foot Locker and JD and DICK'S. What we are very much trying to do with Foot Locker and JD is reach and expanding to an even younger consumer base and this is driving the partnership. So with JD, we'll be heavily focused on the UK that is driving a large part of this expansion and on the U.S. And then with Foot Locker, and -- the expansion in 2022 is mainly U.S.-based, very strongly defining the key locations.  And together with them being -- where we believe we have the strongest consumer fit, but then also working on a very distinct product peering. And so when you experience On across different channels, study always find the right products for their respective consumer. With DICK'S, the story is a little bit different so our goal and our dreams to be number 1 on runners feet and DICK'S plays a very important role in there so we will start the pilots with On branded spaces within some key fix and doors as of this summer. And we'll also start and two selected pilots with public land, which is DICK'S outdoor format, to reach the outdoor consumer.
Jay Sole: Got it. Okay. Thank you so much.
Operator: The next question is from the line of Jim Duffy from Stifel. Please, go ahead.
Jim Duffy: Hello. Thank you. Hello, everyone. Martin, I think this is coming your direction, but I want ask a few questions on the supply chain backdrop and influence on product flow. Can you speak to the level of in-transit inventory positions? Then I'm curious is the incremental use of airfreight expected to be fully through the P&L in the first half of the year.
Martin Hoffmann: Yeah. Thanks, Jim. I think most most important is we have now confidence and clarity on the factory and the volumes that they are producing and so we can plan basically all the use of airfreight much more clearly than in the past. As mentioned, we expect 700 basis points to 800 basis points headwind from use of airfreight in the first half of the year compared to the gross profit margin that we had in the first half of 2021. We will carefully balance basically growth and use of airfreight, but what we see is that we will be able to fulfill an higher share of the demand that we're are having in the first half of the year, which is also reflected in the increased guidance.
Jim Duffy: And then, I'm curious the level of in-transit in your current inventory positions and then how you're thinking about the progression of inventory across fiscal 2022. And then perhaps related to that, I'm curious, is there a way to characterize the wholesale channel inventory levels where they sit right now versus the desired levels?
Martin Hoffmann: In transit, in the end we're balancing if the volume comes out of the factory at the moment was what goes on ocean freight and what goes on airfreight. We see some concession especially at the West Coast port of LA. We don't see similar concessions at the other port so the product is slowing there. But already before the lockdowns, we have adjusted basically how much cautioning we take into account when we plan our production volume for longer shipping time so we have increased it in our internal calculations by two weeks already, even before the impacts. And then, maybe Marc can elaborate a bit how we look at the inventory positions at wholesale.
Marc Maurer: On the wholesale side, from the beginning, On has decided to partner with premium retailers and premium wholesale partners and many of them have an extremely strong standing in the industry. And so what has happened, many of the brands have essentially prioritize to [Indiscernible] and the same partner so we see many of ours -- our partners if relatively healthy levels. And when it comes to our inventory, we feel the availability that we can provide them is very strong and that is also reflected in some of the sell-through data that we're seeing from them where On continues to experience very strong growth.
Jim Duffy: Thank you.
Operator: Next question is from the line of Cristina Fernández from Telsey Advisory Group. Please go ahead.
Cristina Fernández: Good morning, and good afternoon. And congratulations on the better-than-expected quarter. I wanted to ask about the marketing plans. You decided to invest more in 2021, which makes sense given the demand for the product. As you look at 2022, do you expect to be above the -- your long-term target of 12% to 12.5%, how are you thinking about that?
Martin Hoffmann: I think important is our long-term target for adjusted EBITDA margin is to be in the high-teens. And we -- this is clearly what we're working towards, and you also see that we increased our EBITDA target despite the fact that we are facing the headwinds from the higher airfreight. So we purposely increased investments in Q4 in marketing because we have seen strong sales growth, but we also at the lower share of airfreight compared to what we were planning and so we made use of the opportunities that were there. We will continue to use similar opportunities as they arise to invest, especially in the upper funnel of marketing and to target regions where on has a strong -- weaker brand presence than average. We will invest into two product groups like apparel. But on our main goal is to increase profitability over time into the high-teens.
Cristina Fernández: Thank you. And then, my second question is, as it relates to the flow of the year on sales now versus the last call, I think on the last call you had talked about 40%, 45% growth in the back half, which implied about 20 to 25 first half. Should we assume that the better product flow you're seeing would just lift the first half of the year in the second half base in that range should or how are you thinking about the split of it through the year? Thanks.
Martin Hoffmann: Yes. So this is how we are thinking about this. We have visibility for the first half of the year, and believe we can fulfill more demand at the same time, the return to a hybrid growth numbers that you just mentioned in the second half of the year. We feel that there is much more confidence behind the numbers because we are now seeing strong pre -orders from our retail partners, new partners, existing partners, new products, existing products. So we have a much higher level of confidence in that number, and we also have the confidence that the product supply should be there based on the current availability of the factory production capacity.
Operator: Ms. Fernandez, are you finished with your questions?
Cristina Fernández: Yes. Thank you.
Operator: Next question is from the line of Jon Komp from Baird. Please go ahead.
Jon Komp﻿: Hi. Thank you. I want to follow up on some of the product innovation plans that you have, and could you share a little bit more on your plans for 2022 on the apparel side. If you have any insights on the launches there, and any new categories that you plan to enter and your expectations?
Florian Maag: Thanks a lot for your, for your question, Jonathan. And I mean, and apparel has being growing twice as fast as shoes and we continue to launch new products and products that we're launching are always at this intersection between performance and design and then also sustainability and that makes just our apparel pieces incredibly versatile. So we're seeing that adoption of our apparel pieces is becoming more wide. And as I mentioned, for example, in some of our own stores in China, it's already 25% of sales. So we still feel that it's really apparel resonates with our consumer. So you're going to see more launches. In fact, I've just seen in the last two weeks important apparel launches for us.  They also make sure that we double down on the move of our apparel pieces for movement, of course, which is part of our brand [Indiscernible]. So you're for example going to see a women's bra line in the future as well. So it's really just giving more that to our range, but pretty much in the areas that we already play, which is of course in the core running, but it's then extending also to the outdoors and extending to movement. So everything that empowers you to go out, experience nature, and move. What's very encouraging is that we see, for example, customers who come to us for apparel show a high lifetime value. And so our ambition is very clear that On is becoming a global premium sports brand beyond a pure running shoe brand and that's where we also [Indiscernible] product.
Jon Komp﻿: Yeah. Great. That's very helpful. And then maybe a broader question about the plan for 2022 revenue. Is there any more color you can share in terms of some of the channel expectations? I know wholesale, you have some shift in the timing of the spring selling of this year, but there's also some different comparisons that you'll be cycling throughout the year. So any anymore directional color, not year wholesale versus direct-to-consumer, any shaping expectations around those?
Martin Hoffmann: Actually, I'm happy to take that. I think most important to us is that we really see strong growth rates across all the different channels. And if you're looking at D2C, we really see that also the share of new customers, I repeat customers, stays very strong. So we're really building that business based on the elevated consumer base that we were building during the pandemic. Then at the same time, Marc already shared some of the expansion plans that we're having in wholesale, and this some of those expansions we clearly address at a different consumer crew where we also expect that they are continue shopping on -- in our D2C channel. At the same time, we are expanding our own retail network, so we will open up new doors as we have announced in Tokyo and London, but also in the U.S. and Switzerland, doubling our account in China, which will further grow to D2C channel. For us, it's important that both channels are mutual beneficial and we want to grow both channels and not physical of a clear D2C share.
Jon Komp﻿: Yeah, great. Thank you very much.
Operator: Next question is from the line of Kimberly Greenberger from Morgan Stanley. Please go ahead.
Kimberly Greenberger: Great. Thank you so much. I was very intrigued by your comments on the quality and rate of sell-in for spring-summer 2022 and fall-winter 2022. I don't know if there's any additional color that you could share on perhaps the year-over-year rate of growth, either in spring-summer or fall-winter? And then, I wanted to ask about the 700 basis points to 800 basis points in gross margin headwind here in the first half of 2022. I would imagine that some piece of this you expect will be transitory, such as maybe the elevated use of airfreight, but is there a portion of it as well that could be sticky, maybe higher distribution center expenses, or at least a portion of them might be a little more permanent? And any color you could share would be helpful. Thanks.
Marc Maurer: Thank you, Kimberly. And so let's start with the pre -order and what we're seeing for the second half. We're not sharing the number of the growth, but it's higher than we expected, and so which is very, very fortunate and it's across all geographies and across all product groups, which is super important to us. So we are seeing exactly the quality in the order we want. And so for example, as we already mentioned, we want to be number one on Runner seat. So how we are growing in running is a very important measure for us. So we're overseeing that happening. At the same time, we're also always looking at what's same-store growth and what's new store growth, and we're also seeing that in stores were we already have quite a significant presence.  We're still growing very, very strongly. And then beyond footwear, it's important for us that we continue to build on as a global sports company, and with that we're very strongly looking at the apparel share and in the accessories share, and so we see it's still on a very small basis, our accessories business, but we're expecting very, very strong growth in 2022. And on apparel, a lot of the order is driven by now being able to be in many of the right channels, so we spoke about the shop-in-shops and with Nordstrom, which gives us an elevated presence, and we experience where we do have shop-in-shop executions, we also have a higher apparel share, and that is reflected in the pre -order. So we're really positive across the board, and Martin will quickly talk about the margin impact.
Martin Hoffmann: Kimberly, so on the -- on our distribution costs, we're still seeing a very volatile environment. So around our last call mentioned that we see airfreight price around -- jumping up from $20 to $40 per shoe. At the moment, we go more towards $16 again, so it's very volatile, therefore, it's hard to project. We continuously -- we always happen a certain amount of airfreight share with very low airfreight volumes in most parts of 2021 to a very good product availability that we have.  So probably we will happen a little bit in higher share also post half Q1. The -- probably the most longstanding impact with the On higher labor costs in our warehouses where we don't expect that the effect is reversing. And this is why we have increased the prices in the U.S. as mentioned on both 40% of our volume to offset those prices and to be able to maintain our gross profit margin and to clearly work towards the direction of the long-term target of 60% on gross profit.
Kimberly Greenberger: Great color. Thank you so much and it sounds like you expect the price increases that you're taking to be able to fully offset some of the cost inflation leading you on track for that high teens, long-term adjusted EBITDA margin. Am I hearing you correctly on that?
Martin Hoffmann: Yes. At the same time, we do not expect price increases in Europe in 2022, but we're clearly looking at the market and the competitive landscape there, and we have the pricing power as a premium print to selectively increase the prices also for 2023.
Kimberly Greenberger: Great. Thanks so much, and good luck here for the year.
Operator: Next question is from the line of Michael Binetti from Credit Suisse. Please go ahead.
Michael Binetti: Hey, guys. Good morning. Thanks for taking our question here. Congrats on an [Indiscernible] quarter. I guess as we even on the gross margin a little bit and look back at some of the modeling from the S1 around the IPO, obviously, PCB and higher gross margin growing faster is a positive influence. But geography should've been a negative influence with the lower-margin of the U.S. business growing fastest. I think in total, channel and geography would be a slight negative to gross margin year-over-year in fourth quarter.  So my got there is that underlying profitability, and its challenges turning out to be higher than what you anticipated as you scale or maybe you tell me it's just selling at much higher levels of full-price selling, which you would have to cycle. So I just want to be aware of that, but maybe should we -- I guess, some help on how you look at how the gross margin has actualized versus what you thought at the IPO, is 59, 60 a new floor to build off of at this point?
Martin Hoffmann: That's a good question. Thanks for that. We're still besides the airfreight spendings. We were still in a very favorable environment across profit versus strong full price sales and very high D2C share, also in the fourth quarter, especially compared to the second quarter and third quarter. At the same time, we had used less airfreight in Q4 than we were anticipating. So going forward, we continue to have an higher cross-profit margin in our D2C business. So we will see strong impact from debt, helping to offset what you were mentioning partially lower cross profit margins in the U.S. business.  At the same time, China is a very strong business for us all from across profit perspective. So we feel long-term the 60% is clearly the target that we are working towards. At the same time, we need to factor in the use of airfreight to a certain level. Very strong is also that our product prices are fixed for 2022, so this is always committed for the full season. And so we do not expect to see any impacts from higher FOB prices there, this will then only be visible as of 2023. So I think we are still in a very similar environment in our last calls and the range that we were sharing there.
Marc Maurer: And then, I guess if we -- we're back here at CHF990 million in revenue for the year. We're back to the way you saw the business before the Vietnam issues started so that's great to see. I think you were thinking originally that on that level of revenues, EBITDA margin to be about 14.1, you're guiding us to 13.1. Obviously, some of that's explainable by the gross margin you talked to in the first half. Is the best way those since we're back to those revenues as we think about 2023. I think you were originally looking at something like CHF1.3 billion in revenues and margins moving towards the 15-15 or half range on EBITDA. Is that -- as we lift our eyes a little bit past 2022, is that still the right direction to think about the model?
Martin Hoffmann: I think we don't want to talk about 2023. The 990 still includes our headwinds from supply shortages. So I think this is the key differentiated all the to the number that you mentioned earlier. We maintained our long-term outlook to be able to achieve high-teens on our adjusted EBITDA margin. And as you said, if we do not expect long-term use of such an high airfreight [Indiscernible] which was projected for the first half of the year, which should result in higher profitability than -- and over time, we have proven our ability to grow profitable, to be conscious on investment versus holding back-end and crowing in a profitable way. So this is clearly the focus that we will continue to have in the future.
Michael Binetti: Thanks a lot, guys and congratulations.
Operator: Next question is from the line of Sam Poser from Williams Trading, please go ahead.
Sam Poser: Thank you for taking my questions. I've got a few here. Number 1. In the gross margin, the 7800 points decrease in the gross margin on the first half, I assume that that would be certainly more weighted to Q1 than Q2. Is that a fair assessment?
Martin Hoffmann: That's a fair assessment of the properly more 60, 40 across the two quarters.
Sam Poser: And then, for the full year, can you just give us some idea of what you're thinking the gross margin is going to be? And number two, overall, I mean given some of the product shortages and so on, I assume that the demand for your product is outpacing supply and given that, and given that you're probably not able to satisfy some of the core running businesses and core running consumers and the more heritage business you've developed, why go after that younger, more fashion customer when you could use that production for better to serve being that more running, a more performance customer?
Marc Maurer: Thank you. Thank you for the question. So on the gross profit outlook 2022, so we're not giving gross profit guidance for 2022, but I'm super happy to talk about the channels and how we're balancing supply and demand. So I think On is a premium brand and we have historically experienced [Indiscernible] demands than supply and basically having a certain amount of product scarcity helps us remaining premium and also helps our margin situation. So we'll continue to execute on that strategy. When we're looking at prioritization, for us, it's important to reach the right consumers through the right channels.  So we definitely did prioritize for the running product the channels that reach a running consumer. So did we prioritize for more an all-day consumer the channels that reach an all-day consumer. And where we keep product supply as high as possible in all products is our own D2C environment, and I think this is what you're seeing playing out. We have some flexibility on balancing different products. So when you look at our most important products, we dual or triple source almost all of them, so we can balance between factories. But we don't have a 100% flexibility to just move overall capacity around. But I mean, I think going forward, this is probably a little bit on how we can think about which consumers have access to which product groups.
Sam Poser: Thanks. And then, just one last thing here. Apparel has a ton of performance features in it. And then, do you foresee apparel go again to like let's say, athletic specialty going forward, or is that more of the same performance [Indiscernible]?
Marc Maurer: We're basically, again, we're trying to be a global sports brand and we will bring apparel into the stores where we feel apparel has a good showing and reaches the right consumer. If you look at the pilot, for example, with DICK'S, apparel will be part of that. Apparel will also be in, for example, our Nordstrom doors. But then, run specialty is a channel that is a little bit less apparel heavy and therefore, will also have less apparel exposure. Our own D2C channel and our own retail stores are extremely important and for all the apparel expansions so we'll continue to drive that. And then, I think, you can also expect us to be in some channels that are originally or originating more in the apparel space and meant that have way less footwear exposure. And we'll also expand I think our apparel and assortment into some of these premium doors.
Sam Poser: Thanks very much. Good luck.
Operator: There are no further questions at this time. Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining and have a pleasant day. Goodbye.